Gene Shiels: Okay. With their corresponding GAAP measures can be found in our earnings release and in presentation materials posted on the investor section of our website at ecovyst.com. I'll now turn the call over to Kurt Bitting.
Kurt Bitting: Thank you, Gene, and good morning. We are pleased with our results for the fourth quarter of 2024. While global macroeconomic fundamentals continue to present challenges in the fourth quarter, we delivered financial results in line with our expectations, further demonstrating the resilience of our core and industrial businesses. I am also extremely proud of my Ecovyst colleagues for producing more than three million tons of product without a single OSHA recordable injury in 2024. This was the best performance in Ecovyst's history and is a testament to Ecovyst's dedication to producing and delivering product in a safe and responsible manner. Our Eco Services segment continued to deliver solid results, with adjusted EBITDA up nearly 12% compared to the year-ago quarter, driven by increased sales volume and favorable contract pricing. In addition, sales for advanced silicas increased 5%, driven by higher sales of advanced silicas used in the production of polyethylene. However, and as anticipated, sales for the Zeolus joint venture were lower, principally due to the timing of hydrocracking catalyst sales. Overall, for the fourth quarter of 2024, we delivered adjusted EBITDA of $76 million, up 8.7% compared to the fourth quarter of 2023. For the year as a whole, strong cash generation provided for a net debt leverage ratio of three times at the year-end, down from 3.2 times on a trailing twelve-month basis at September 30, 2024. 2024 was also a year of continued progress in executing on our strategic and operational objectives. During the year, our investments in reliability initiatives in our Eco Services segment provided for improved operational efficiency, supporting volume growth, and we anticipate realizing further benefits from these reliability initiatives in 2025. In addition, we continue to position Ecovyst for the future, with capacity increases underway to support our core and industrial businesses as well as for emerging technologies. The capacity expansion for our Chem 32 business is underway, and we expect to complete the polyethylene catalyst capacity expansion at our Kansas City site late this year. This capacity increase, backed by customer commitments, will support expanded customer demand in 2026 and 2027. Lastly, we continue to collaborate with industry leaders to further refine technologies to enable advanced plastics recycling and to serve anticipated growth associated with biocatalysis and carbon capture processes. As we turn to slide six, I'll provide an update on our near-term demand outlook. We maintain a cautious posture of near-term demand in certain end uses due to ongoing uncertainty in the global macroeconomic environment. However, we believe that most of the segments that we serve are underpinned by strong demand trends, so our long-term outlook remains positive. In Eco Services, we project continued positive momentum for regeneration service in 2025, with stable gasoline demand and high alkylation unit utilization. Our refining customers are planning more maintenance activities in early 2025 as compared to 2024. As a quick comparison, six of our refining customers will execute turnarounds in the first half as compared to just two in the first half of 2024. Eco Services, in turn, will execute four of its five turnarounds in the first half of 2025 to coincide with the customer turnaround activity. For virgin sulfuric acid, the mining sector continues to show robust growth driven by the increased use of copper in data centers and energy infrastructure. In terms of virgin sulfuric acid used in the production of nylon precursors, we foresee near-term uncertainty due to global industrial demand fluctuations and the ongoing surplus capacity in Asia, which may affect sales in the first half of the year. However, we believe demand will strengthen in the second half. Overall, we project that demand fundamentals for virgin asset sales will be firm and will improve in the second half, supported by incremental customer demand from new mining projects, expansions in lead-acid battery plants, and higher anticipated demand for nylon precursors. Demand for our ex-situ catalyst activation performed at Chem 32 also is projected to increase due to its effectiveness of sulfide in the catalyst and the HSE risk mitigation it offers to customers versus other technologies. Moving to our AMAC segment, 2024 was a good year for hydrocracking catalyst sales, albeit not a peak year as was the case in 2023. 2025 looks to be a stronger year for hydrocracking catalyst changeouts. In addition, we continue to see heightened interest in our mock technology, which allows enhanced flexibility and improved distillate yields for our refining customers. As a result, we currently project sales of hydrocracking catalyst to be up this year compared to 2024. As these sales typically have long lead times, our expectation for increased sales this year is based upon orders in hand. We believe the near-term outlook for catalyst sales into emission control applications will remain subdued. The four-year deferral for implementation of Euro 7 for heavy-duty diesel vehicles, uncertainty around EPA 2027, and challenging macroeconomic conditions have adversely impacted customer demand. For Advanced Silicas, the global outlook for polyethylene demand remains subdued, and this is compounded by excess production capacity, particularly in Asia. In the US and Middle East, where we have our highest polyethylene exposure, producers are benefiting from cost-advantage feedstocks and energy costs, which translates into higher overall capacity utilization rates for these regions. We believe that our customer preference for our custom catalyst design capabilities will continue to allow our sales growth to outpace overall global polyethylene demand growth. We look forward to the completion of the Kansas City capacity expansion, which will support the planned ramp-up of our customers' capacity expansions in 2026 and 2027. Turning to our emerging businesses, we continue to believe the longer-term outlook for catalyst sales supporting the production of sustainable fuels remains positive. We expect demand recovery and sales supporting renewable diesel production in the next twelve to eighteen months. Concerning the increase in the production of sustainable aviation fuel, the European Union has now implemented the 2% blending mandate. Additionally, major airlines are maintaining their 2030 SAS usage targets. We also continue to see favorable trends for emerging applications that utilize advanced silicas such as biocatalysis and carbon capture. Through 2030, the global enzyme market is forecasted to grow at a compounded annual growth rate of approximately 14%, and the value of carbon capture utilization and storage is anticipated to increase sixfold from approximately $6 billion in 2022 to roughly $35 billion by 2030. We continue to see strong customer engagement in these areas as we work with leaders and innovators on product qualification. As you hopefully have seen, earlier this month, we announced a strategic partnership with Chiral Vision, a leading innovator of biocatalysis-based technologies for collaboration on enzyme immobilization applications. And in the Zeelis joint venture, our OPO Infiniti family of catalysts has been proven to significantly reduce the thermal intensity required in the production of pyrolysis oil and enable the production of higher quality and higher value pyrolysis oil. We believe that projects for advanced recycling remain broadly on track, and accordingly, we anticipate that Ecovyst sales will follow and commence in late 2025 through early 2026. I'll now turn the call over to Mike for a more detailed discussion of our financial results for the fourth quarter.
Mike Feehan: Thank you, Kurt. Good morning. As Kurt mentioned, I will begin with a more detailed review of our fourth quarter and full-year financial results. Higher volume and favorable contract pricing of regeneration services, along with increased demand for advanced materials used for the production of polyethylene, drove the 5% year-over-year increase in our Ecovyst sales in the fourth quarter. Within our Zeolus joint venture, the expected timing of hydrocracking catalyst orders led to lower sales compared to the prior year. During the fourth quarter, we recognized a non-cash $65 million impairment charge on our investment in our Zeolus in the quarter. The investment in our Zeolus joint venture was stepped up as part of a business combination when PQ and Eco Services merged in 2016. This impairment charge reduced a portion of that step-up. The reduction in the carrying value of our investment to an estimated fair value was primarily due to the demand outlook for catalyst materials used in emission control applications and the production of sustainable fuels. Adjusted EBITDA in the fourth quarter was $76 million, up nearly 9% year-over-year, reflecting higher volume and favorable contract pricing in Eco Services and higher sales of advanced silicas used for the production of polyethylene, partially offset by the timing of hydrocracking catalyst sales within the Zeolus joint venture. For the full year, sales were up 2% year-over-year, primarily driven by higher volume and favorable contract pricing, partially offset by the impact of lower pricing from the pass-through of lower cost in Eco Services. Advanced Silica sales were flat as higher sales for finished polyethylene catalyst and niche custom catalyst were offset by lower sales of polyethylene catalyst supports, and sales within our Zeolus joint venture were down year-over-year, driven by the lower volume of hydrocracking catalysts related to the timing of customer changeouts as well as the decreased demand for catalyst materials used in emission control applications and the production of sustainable fuels. Ecovyst adjusted EBITDA for 2024 was $238 million compared to $260 million for 2023. The lower adjusted EBITDA was primarily driven by the lower sales volume in the Zeolus joint venture. Moving to the next slide, I'll highlight the major components of the change in adjusted EBITDA for the fourth quarter. The price to variable cost ratio for the fourth quarter was positive, driven largely by the strong contractual pricing in regeneration services. Our fourth-quarter sales volume was up in Eco Services and advanced silicas. This is more than offset by the lower sales volume in the Zeolus joint venture. The balance of the change in adjusted EBITDA relates to lower turnaround costs in Eco Services and the benefit of cost reductions in the Zeolus joint venture. I'll now turn to the fourth-quarter segment highlights starting with Eco Services. Sales of $150 million were up 5% over the prior year quarter, driven by higher volume and favorable contract pricing in regeneration services. Adjusted EBITDA was $54 million, up nearly 12%, reflecting the higher sales volume and pricing, favorable fixed cost absorption associated with the timing of inventory build, and lower turnaround costs compared to the fourth quarter of 2023. The adjusted EBITDA margin for the fourth quarter was 36%, up 210 basis points compared to the year-ago quarter. For our Advanced Materials and Catalyst segment, sales for Advanced Silicas were $33 million in the fourth quarter, up 5% year-over-year, on higher sales of advanced silicas used in the production of polyethylene as well as higher sales of niche custom catalysts. Sales from the Zeolus joint venture were down principally due to the timing of hydrocracking catalyst sales. Adjusted EBITDA for the Advanced Materials and Catalyst segment was $28 million, up modestly compared to the fourth quarter of 2023, as higher sales of advanced silicas, favorable absorption of fixed cost, and the benefit of cost reduction actions taken in 2024 largely offset the lower overall sales volume within the Zeolus joint venture. As we move to our discussion on cash and leverage, cash generation remained positive in the fourth quarter, leading to a full-year adjusted free cash flow of over $85 million, up $13 million compared to 2023. The higher cash generation was driven by higher dividends from the Zeolus joint venture and favorable changes in working capital, partially offset by higher capital expenditures specifically for the ongoing growth capital projects for expansion of polyethylene catalyst capacity in our Kansas City facility and Chem 32 catalyst activation expansion. We ended the year with approximately $146 million of cash, and our available liquidity was $221 million, including availability under our ABL facility. In light of our positive cash generation, our net debt leverage ratio was three times at year-end. With continued positive cash generation expected in 2025, and assuming no discretionary uses of cash, we anticipate making significant progress towards our target net debt leverage ratio of 2 to 2.5 times. I will conclude with a discussion on our outlook for 2025. As Kurt noted, although we foresee relative stability in many of our core businesses as we move into 2025, we remain cautious about the near-term outlook for global macroeconomic activity. This cautious outlook is factored into our guidance for the year. For 2025, we expect our GAAP sales to be in the range of $755 to $815 million. Relative to 2024, this outlook includes an estimated $35 million of higher anticipated pricing related to the pass-through effect of higher sulfur cost in 2025. Sales for our proportionate 50% share in the Zeolus joint venture are projected to be in the $115 to $130 million range. As a result, we expect total sales, including our proportionate share of the Zeolus joint venture sales, could be $870 to $945 million. We anticipate growth for Eco Services in 2025, driven by favorable contract pricing and higher volume. Excluding the expected $35 million sulfur cost pass-through impact, our anticipated base growth would be in the mid-single digits. However, taking into consideration the pass-through effect of the higher sulfur costs, we project sales for Eco Services to be up on a low double-digit percentage basis. For Advanced Materials and Catalyst, we expect our sales of polyethylene catalysts to continue to outpace global demand growth, and we believe that there will be continued traction and higher sales of advanced silicas for biocatalysis applications this year. As a result, we project advanced silica sales to be up on a low double-digit percentage basis compared to 2024. Within the Zeolus joint venture, we expect a stronger year for hydrocracking catalyst sales, albeit not at the peak level we saw in 2023. For catalyst sales into sustainable fuel applications, we remain cautious and project sales growth to be flat to slightly up in 2025. Overall, we anticipate the Zeolus joint venture sales to be up on a mid-single-digit percentage basis. We anticipate adjusted EBITDA to be in the range of $238 to $258 million, which is up 4% at the midpoint of the range compared to 2024. In terms of segment results, we anticipate Eco Services adjusted EBITDA to be up on a mid-single-digit percentage basis within a range of $204 million to $220 million. For Advanced Materials and Catalyst, we project adjusted EBITDA to be up on a mid-single-digit percentage basis in the range of $65 million to $71 million, noting as we have previously discussed, sales of certain products within the Advanced Materials and Catalyst segment can be lumpy as they are often large, event-driven sales. We also expect our earnings to be more heavily weighted toward the second half of the year, similar to last year, driven by the timing of hydrocracking and custom specialty catalyst sales. We expect corporate costs to be approximately $32 million in 2025. Capital expenditures are anticipated to be in the range of $80 to $90 million for the year, reflecting incremental investment this year as we expect to complete the polyethylene catalyst capacity expansion at our Kansas City site by year-end and our ongoing activity to expand our catalyst activation capacity at Chem 32. As a result, we project adjusted free cash flow for 2025 to be in the range of $60 to $80 million. For interest expense, considering the interest rate caps we have in place covering approximately 75% of our exposure, as well as the recent repricing of our term loan, we expect interest expense to be in the range of $47 to $53 million for 2025. In terms of specific guidance for the first quarter of 2025, we project first-quarter adjusted EBITDA for Eco Services to be between $29 and $34 million. While the first quarter is historically the lowest adjusted EBITDA quarter, the lower-than-typical adjusted EBITDA for the first quarter of 2025 is expected to be driven by the timing of turnaround spending, planned customer turnarounds, and the absorption of fixed cost. We plan to execute more than 50% of our annualized turnaround cost in the first quarter as we conduct maintenance to coincide with customer turnarounds. We also anticipate lower volumes with inversion sulfuric acid and treatment services in the first quarter, which are expected to be stronger in the second part of the year, as we complete our turnarounds, taking advantage of the anticipated higher incremental sulfuric acid demand that Kurt mentioned earlier, and also through the timing of contractual pass-through of certain costs, including energy and other index costs. For Advanced Materials and Catalyst, similar to the prior year, we expect a lighter first quarter based on customer order timing, more typical second and third quarters, and a strong fourth quarter driven by the timing of certain product sales within the segment, particularly around hydrocracking and custom specialty catalysts. Therefore, we project adjusted EBITDA to be between $3 and $8 million for the first quarter, assuming unallocated corporate expense of approximately $8 million, we expect consolidated adjusted EBITDA for the first quarter to be between $24 million and $34 million. I'll now turn the call back to Kurt for some closing remarks.
Kurt Bitting: Thank you, Mike. In retrospect, the global macroeconomic environment remained challenging in 2024, and we experienced a revision of our near-term expectations for our sales into the production of sustainable fuels. However, many of our core and industrial businesses continue to exhibit resilience, performing well in 2024. Our regeneration services business delivered on its growth objectives, and we saw stability in many of our industrial businesses, including virgin sulfuric acid into the production of polyethylene. Moreover, we continue to make significant progress in the advancement of key technologies that we believe will provide for compelling future growth. These include technologies that support the production of sustainable aviation fuel, catalysts that significantly improve the efficiency of advanced recycling, and technologies that expand biocatalysis and carbon capture applications. I want to thank all of my Ecovyst colleagues for their significant contributions in 2024 and for their continued enthusiasm and engagement as we continue to deliver on our growth and strategic objectives in 2025 and beyond. Ecovyst remains intently focused on executing our strategy that we laid out in November of 2023 at our Investor Day. We are focused on capturing growth through enhanced reliability, debottlenecking, and organic expansions across our core and industrial businesses and leaning into the favorable trends in the emerging segments. Earlier, I spoke about our investments and enthusiasm in our emerging applications, where we have created dedicated marketing teams to work with our innovative customers and resourced pilot production capabilities for biocatalysis and advanced recycling in the last twelve months. We also continue to scan for inorganic opportunities that could enable volume growth in our core or adjacent end uses or add technologies that enhance our emerging product portfolio. In December, we announced that the Ecovyst board of directors has launched a strategic review of our Advanced Materials and Catalyst business, and we currently expect to complete this review in the middle of 2025. The company does not intend to make any further public comments regarding this review until it has been completed, or the company determines that disclosure is required or beneficial. As we move into 2025, the macroeconomic environment and potential impact of geopolitical factors remain uncertain. Broad implementation of tariffs could result in disruption throughout global supply chains. However, we remain confident in the resilient performance of our core and industrial businesses, and we are planning for growth in 2025, and we will maintain our focus on capturing future growth opportunities as we remain committed to delivering compelling value for our shareholders. At this time, I will ask the operator to open the line for questions.
Operator: We'll take our first question from Patrick Cunningham with Citi. Your line is open.
Patrick Cunningham: Good morning. Just maybe first starting off on the 1Q guide, can you help us frame what this means from a volume decline perspective across each business? How much financial impact do you have just from the cost of your own turnarounds? And is there anything to call out in terms of the sort of the timing of price cost on the virgin sulfuric side, which is maybe a further drag here?
Mike Feehan: Good morning. Thanks for the question. From a perspective of size, the turnaround costs that we're incurring are a few million dollars of an impact. The turnaround cost from our customers would be another few million dollars. And then in addition, the rest of the components are made up of the timing of some of our fixed cost absorption related to our inventory timing as well as the timing on virgin sulfuric acid that Kurt had mentioned earlier.
Patrick Cunningham: They're so very helpful. And then just on some of the near-term weakness, as you said, it's specifically on polyethylene demand. I think we're hearing somewhat stable demand increases for PE in North America. I'm just trying to understand, is this thing, you know, not improving as much as you see in the overall market from low levels? Is there anything to call out specifically in terms of your order patterns?
Kurt Bitting: Yeah. No. I think, Patrick, I think what we see is that there's still obviously some overcapacity in certain markets like Asia. I think in our case, though, we would agree with what you said about, you know, North America and, you know, Middle Eastern customers benefiting from their energy position. In terms of our order timing, it's really more just order timing. Right? So our customers did in the fourth quarter, I'd say, you know, build up stock, and the first quarter is just gonna be a lighter ordering pattern, and we expect that to pick up in the second half. So, you know, we do, as Mike said on the call, we do expect, you know, our advanced silicas business to be up, you know, year over year.
Patrick Cunningham: Very helpful. Thank you.
Operator: We'll take our next question from Aleksey Yefremov with KeyBanc. Line is open.
Aleksey Yefremov: Thanks. Good morning, everyone. I appreciate you providing, you know, a lot of details on Q1 guidance. Sort of stepping back, looking at an overall EBITDA as you expect in Q1, I think this would be a re as far as my model goes, probably 2016 or so, segments. I guess is there anything from a broader historical perspective that you think led to this result? Any of your businesses are just not as good as they used to be perhaps, or just the severity of these temporary issues is still unusual. And it would be helpful to maybe quantify them in that case.
Kurt Bitting: Yeah. I'll take the first part and maybe just talk about the, you know, the qualitative aspects of the business. So, you know, I think from a regeneration standpoint, there's, you know, we have turnarounds going on in our plants. You know, from a broader first-half perspective, I mean, we're expecting to take four of our five turnarounds in the first half of the year to really coincide with step-up refinery turnaround activity, which is, you know, which is quite normal. It's just this year that there happens to be a greater amount. We do expect that regeneration is gonna be good this year. You know, the factors that surround that business remain positive in terms of gasoline and importantly, application unit utilization. Virgin sulfuric acid, you know, we expect a good year in virgin sulfuric acid, although the ramp is gonna be more in the second half, and that's somewhat related as well to the production on our side. Right? When we have our, we have again, four of our five turnarounds happening in the beginning of the year, I will note, we do have new customer demand starting in the second half as well with the new mining project, expansions at battery plants that are gonna kick in as well as our nylon precursor segment is, you know, forecast half of the year, which will spill over to higher demand for us. So in terms of the bones of the business, remain solid. This is more really a timing issue. So, you know, Mike, you can, you know, comment on some of the financials.
Mike Feehan: Yeah. I mean, I just echo Kurt's comment. I mean, this is not an unexpected or anything that we feel concerned about. It's a lot of timing that we just went through on the Eco Services side, and similarly for the Advanced Materials and Catalyst side, that business, as we've talked about every year and every quarter, is very lumpy. Right? There are a lot of event-driven types of orders, whether it's the hydrocracking catalyst or the specialty custom catalyst, and it's just the timing of those orders when they come through. So it's not a concern for us. It is definitely a low quarter, Aleksey, from a historic standpoint. But again, if you go back and look historically, you've seen some big movements quarter over quarter, including last year, when we did have a heavier second half for AM&C, and then we delivered that, right, at the end of the year. Right? So we're confident that we're still gonna be able to deliver our results that we've provided. This Q1 is purely a timing aspect for a variety of the different items that we talked about. Cost side on Eco, primarily along with the timing for the customers. And then, you know, the order book in the AM&C business.
Aleksey Yefremov: Thanks a lot. And the follow-up, I think you guided to about $35 million of, sorry, $25 million of net sales increase, including the pass-through. Excluding the pass-through, EBITDA is projected to go up $10 million. This just strikes me as somewhat low incremental margins given how high your margins typically are. Could you just give us a call and maybe a walk for that sales versus EBITDA bridge in your guidance?
Mike Feehan: Yeah. I think your first point about the sulfur impact, right? So that is a margin impact, you know, from a negative standpoint, but again, the sulfur pass-through does not impact EBITDA, it just inflates the top line. So that is certainly a component of it. There's also, you know, a mix component, primarily in the AM&C business where you do have, you know, as high, you know, some of our sales for hydrocracking in particular are not as highly profitable as they talked about in the past, but there is a dynamic from a mix standpoint as well. We did talk about higher costs overall for, you know, FMC turnaround cost just as they start to go up. However, you know, we are increasing our sales pricing as well to commiserate for that difference. So it's a little bit of the sulfur impact and then the mix effect as well.
Aleksey Yefremov: Thanks a lot.
Operator: Our next question comes from David Begleiter with Deutsche Bank. Your line is open.
David Begleiter: Thank you. Good morning. Kurt, on the strategic review, can you at least discuss why the board decided now to do this review on this business?
Kurt Bitting: Yeah. Well, I think, you know, obviously, we view the AM&C business as a great business. It's got a lot of, you know, relatively really good core businesses around it. They have hydrocracking, polyethylene, as well as, you know, the emerging technologies that we walked through, biocatalysis and such. And the board's really just looking to see how we can maximize shareholder value. And are there alternate, you know, ways to do that other than its current setup. Right? So that's really what we're looking at is, you know, we view that business as a high-value business, stable in terms of its, you know, core businesses as well as some great emerging opportunities. And is there, you know, a way to further create shareholder value with a different setup?
David Begleiter: Understood. And just in the full-year guide, at the low end, you're forecasting your growth. So what would need to happen for Ecovyst not to grow EBITDA in 2025?
Kurt Bitting: Yeah. I think that's, you know, a lot of that is always our, you know, our order timing on the catalyst side. David, as you know, we have large hydrocracking orders and large other custom catalyst orders that, you know, can be, you know, in some cases, $10 million per order type thing. So some of it is based on the timing of that, so not necessarily a miss on the actual capturing of the sale, but, you know, the timing of where it lands. And the other part of the guide is really is there any, you know, economic disruption that comes from, you know, the current environment that we live in today in terms of the uncertainty, you know, surrounding tariffs or other geopolitical issues that are floating out there. But we look at, you know, if you look at the base core of the businesses again, you know, Eco Services regeneration, we expect to be strong, albeit the first half is, you know, lighter just because of the customer turnaround activity, which is, you know, just they have to take turnarounds. It's the nature of the business. Virgin acid, we expect to be firm this year. I will point out the question up earlier. Pricing is not a drag on virgin acid right now. The, you know, the market, you know, is generally, is remained solid. Then our core business is, you know, again, with the catalyst, across polyethylene and hydrocracking, a lot of that's really timing-based.
David Begleiter: Thank you.
Operator: Our next question comes from Hamed Khorsand with BWS Financial. Your line is open.
Hamed Khorsand: Hi. I'm sorry. I'm gonna beat this dead horse here, but could you just talk about this timing issue specific just to Zeolus really in the hydrocracking. Why has this continued to be the case? I think this is now, like, the second or third quarter that you're bringing this up.
Mike Feehan: Yes. Good morning, Hamed. You know, it's, I would probably say that we bring it up a lot. The timing around the Zeolus joint venture and the customer orders there has been in existence since I've been with the company a long time ago. So the orders are often, you know, for hydrocracking in particular, are usually three to four years from when they do a fixed bed changeout. And those timing of when those orders come through can really vary in a couple of different months. Right? So you can have a large order that could be $15, $20 million that hits on December 31st, or it could go to January 1st. And a lot of it has to do with the timing of when they're shipped and delivered to the customer. Same thing for the specialty catalyst. Those are very lumpy event-driven businesses. So they could have orders that happen every four, five, even six years with some of the different customers. So sometimes it's a timing item within the customer order booking. And other times, it's just when those orders are placed every few years.
Hamed Khorsand: Okay. And then as far as your emerging technologies go, you've talked about different products and solutions, you know, being available this time right around 2025. Is that still the case for this year? And are you still expecting sales from those emerging technologies this year?
Kurt Bitting: Yeah. As we talked about in the call, yes, we are, you know, biocatalysis. It has, you know, seemingly having some good uptick with customer interest in terms of that, you know, just biocatalysis as an industry is growing, very been great feedback from customers testing our products in terms of the silica supports for those. So, you know, we have good confidence in that. Advanced recycling is the other one I'll point you to where, you know, we've had some really good feedback from customer trials. Those advanced recycling plants are in, you know, process of being constructed, and, you know, we expect those sales really to kind of start hitting in late 2025 and into 2026 and continuing thereafter as those plants get built. So we're happy and largely on track where we think those emerging technologies are, and we're very pleased with, you know, the feedback that we're getting from the customers who are pilot testing the product.
Hamed Khorsand: Okay. Thank you.
Operator: Our next question comes from Laurence Alexander with Jefferies. Your line is open.
Laurence Alexander: Good morning. Firstly, on AM&C, can you give a sense for what percentage of sales or EBITDA is tied to the heavy-duty and sustainable jet fuel categories? Because those are, like, what you call out as being a subpar longer-term outlook.
Mike Feehan: Yeah. We haven't really given any specific, you know, ranges of the size of that business. But, again, part of it has to do with the timing of the orders. Right? The hydrocracking is the largest component of the Zeolus joint venture. The second one really is probably the custom and specialty catalyst, which can vary year on year, and then really sustainable fuels or the renewable diesel as well as the emission control, you know, is really the next size one. So it, and we've talked about the sustainable fuels before being around 10% of the overall AM&C sales. So, you know, roughly, it's probably in that range or a little below that just given the decline from last year.
Kurt Bitting: Yeah. And I think we expect just in terms of sustainable fuels on it, we, you know, in the call, we had said we do expect it to be flattish to potentially slightly up this year. So as opposed to last year where it obviously, you know, had a steeper decline and, you know, long term, we have, you know, we believe that that business will continue to grow, maybe not at the same rate of change as it did when it started in 2019 because, you know, there's still a need to decarbonize heavy-duty diesel vehicles. And then sustainable aviation fuel has, you know, you have airlines in the US that still have, you know, 10% blending targets for 2030 as well as the EU that has, you know, in 2025 now has a blending mandate in place of 2%. So there still is a need for those fuels there, and we expect them to grow long term.
Laurence Alexander: And can you sort of give an update on your thinking on what the trade-offs are about around keeping or exiting the Zeolus JV?
Kurt Bitting: Yeah. Well, we've been a part of the Zeolus JV that has been in existence now for 37 years and was really formed around our, you know, expertise regarding the zeolites and their, you know, the key as being a key intermediate in the hydrocracking catalyst, you know, since the inception of the JV. That joint venture has expanded into, you know, multi different dimensions in terms of on the sustainable fuels, custom catalyst, emission control, so it's grown, you know, quite substantially and grown in different areas. And now we are, you know, growing into the advanced recycling area. So it's not a, it's not a, you know, one-dimensional JV like a lot of them are that are geographically or product-centric. This one has grown, and both parties in the JV have been willing to invest in it over time. So, you know, we don't, we consider that they'll, we will continue to operate that way into the future.
Laurence Alexander: And then lastly, around the timing issues, just to be clear, is your outlook range tied to, like, a normal level of timing or lumpiness, or did you factor in some degree of assuming that the timing continues to go against you at the same rate as it has the last several quarters?
Mike Feehan: No. I think the timing is just relative. Right? And typical for what we expect. I mean, those orders can be positive and negative depending on, you know, when certain things come into the fold from a customer standpoint and shipping standpoint. So it's within a relative range. I think on the Eco Services side too, you know, we have very good visibility to our customer turnaround times, you know, that, you know, sometimes two and three years out, and that's why we're able to plan our own maintenance outages around them. So we have pretty good visibility into where those are gonna land. It just so happens this year is a, you know, a heavier period in the first half of the year, and it's kind of concentrated up between our maintenance and their maintenance into the first half.
Laurence Alexander: Okay. Thank you.
Operator: Our next question comes from John McNulty with BMO Capital Markets. Please go ahead.
Caleb: Hi. This is Caleb on for John. So I know we've talked a lot about the impact of the turnarounds and the order timing in the first half. But is it fair to say that the first half EBITDA should kind of be within the normal range of seasonality where it's, like, 40 to 45% of your full-year EBITDA, or is it gonna be significantly less than that?
Mike Feehan: Yeah. Good morning, Caleb. It's a good question. So I'd give you the direction that for the Eco Services side, it's roughly a 40/60 split. Right? So roughly 40% of the earnings would come around in the first half and 60% in the second half, and a lot of that is, you know, related to the topics that we talked about from, you know, the turnarounds and timing items. For the AM&C business, it's more like a 30/70 split. Again, if you go back and look at last year, it's not too dissimilar, right, with, you know, again, some of those timings of when the sales are coming through and when our expectations are.
Caleb: Gotcha. Okay. But with Q1 EBITDA at, like, the midpoint to be, like, 11% for the full-year guide, that's implying that Q2 is almost, is at least, like, double Q1. So I'm just asking. That's trying to get the math reconciled.
Mike Feehan: That's right, Caleb. I mean, and I think, again, it's not too dissimilar from what our expectations are. I mean, you've seen before for Eco Services, they typically have more of a bell curve, where Q1 and Q4 are usually lower, and Q2 and Q3 are stronger quarters. Right? So with Q1 being artificially lower for the reasons we talked about, that would show a significant increase for the AM&C business, you know, that can have, you know, significant swings quarter on quarter because of timing of the hydrocracking and specialty catalyst and other items, custom catalyst that we have.
Caleb: Okay. Thanks for the color.
Operator: Our next question comes from David Silver with CL King. Your line is open.
David Silver: Yeah. Hi. Thank you. I did want to just ask you for a little bit more color on your CapEx budget, $80 to $90 million this year. If I have it right, I think maybe $5, $6 million of that is money that might have been budgeted for, you know, 2024, but kind of is slipping. But just in general, I mean, if you were to kind of, if you could put the CapEx in buckets, maybe how much is sustaining and then is the balance of non-sustaining spending all in the Kansas City and Chem 32 expansions, or are there some other discretionary items that you might call out? Thank you.
Mike Feehan: Yeah. David, thanks for the question. You are correct. There was probably about $5 or $6 million, as you've mentioned, that rolled into this year. The increase, you know, from last year to this year is all growth-driven. Right? So it's all related to either the predominance is the expansions in Kansas City under the AM&C group, as well as some spending in the Chem 32 catalyst activation business that's under Eco Services. There's probably a few other million dollars here and there for cost reduction projects and other smaller, you know, projects that are growth-based. And, again, the way we look at our capital allocation strategy really is that first dollar that goes back into the business will give us the best return, you know, since we know we can control it and we believe that we have a good return on those projects. So that's where the money is gonna be spent for next year.
David Silver: Okay. Very good. And then apologies in advance. This might sound a little wonky, but I did want to go back to the impairment charge. And I, you know, I did read your description of it pretty carefully. I mean, in general, I think there's maybe three general, you know, events or circumstances that might trigger the impairment. And in your explanation, you know, it is clear what you're saying, but, you know, it seems like, you know, maybe you're citing ultimate or the approximate cause of it was a transaction back in 2016, you know, but then you also cite some, you know, relatively modest portions of your current business mix. And I don't know if I'm juggling things or it's apples to oranges there, but, you know, if the original, I don't know, if the original accounting was different or if your stock price was at a different level, I mean, you know, would you still be taking that impairment charge? Maybe just a tiny bit more color on the Genesis and, you know, the thinking behind that. Thank you.
Mike Feehan: Yeah. Certainly, David. And it's a good summary and a good question. Totally right that the original investment in our Zeolus joint venture was increased or stepped up years ago related to business combinations. Right? So the purchase accounting increased it back then at the then fair value calculation, you know, to your point, what was done back then was done with the information at that time. What we've done now, given some of the current focus, particularly around sustainable fuels and emission control and the demand that we saw there, and the decrease in our earnings from last year led to a reduction of that original step-up. Right? So it was only a portion of that original step-up that was reduced. Right? So the original investment that we had in the Zeolus joint venture, you know, was not adjusted. It's just the step-up from the business combination from years ago that was reduced related to this. So, hopefully, that helps add some clarity. It's a non-cash accounting journal entry, you know, for the impairment of the investment that we have in the joint venture.
David Silver: Okay. I appreciate that. I hope I can just squeeze in a quick one here, but, you know, sulfur prices are rising, and, you know, you've talked about this from a couple angles, and I apologize. But if you could just clarify, is there, what is the lead or lag on passing through, you know, meaningful increases in sulfur costs? In other words, is that part of maybe the sluggishness in the first quarter results that you'll recoup by the second quarter, you know, just or should we just ignore the pretty significant sequential rise in sulfur costs here? Thank you.
Kurt Bitting: Well, yeah. No. Good question, David. I think, you know, just the sulfur costs, you know, actually kind of demonstrate what we're talking about in terms of the refining turnarounds. So the reason sulfur costs generally rise is less sulfur coming out of refineries. So that's the, you know, one of the reasons, you know, we talked about there being a lot of customer refining turnaround activity here in the first half of the year. So that's one reason that sulfur prices have risen. That and I think there's an improved outlook, you know, for agricultural purposes as well. So the prices did jump here in the first quarter, as you pointed out. In terms of the lag, we do pass it through mostly, you know, mostly in the same quarter. Although, there is some lag there, but that's not, I wouldn't say that's a really material drag on our first-quarter numbers. Most of it, again, has to go back into, you know, lower volumes from us because of turnaround activity, lower, you know, lower activity from our customers due to their turnarounds, but, you know, nothing in terms of, we don't see a significant deterioration in any of the facets of the business. In terms of regeneration, still looks good. Virgin sulfuric acid, we think we'll have a solid year, particularly in the second half of some of these new customers start up.
David Silver: Okay. Great. I appreciate it.
Operator: It appears we have no further questions at this time. Turn the program back to the speakers for any additional or closing remarks.
Kurt Bitting: Oh, that's it. With no further questions, we have.
Operator: Thank you. This does conclude the Ecovyst fourth quarter 2024 earnings call and webcast. Thank you for your participation, and you may disconnect at any time.